Operator: Good afternoon, ladies and gentlemen, and welcome to the Akili, Inc. Second Quarter 2023 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 10, 2023. I would now like to turn the conference over to Julie DiCarlo, Senior Vice President of Communications. Please go ahead.
Julie DiCarlo: Thank you, Chris. Good afternoon, and welcome to Akili’s earnings call for the second quarter of 2023. This is Julie DiCarlo, and I’m joined on today’s call by Akili’s CEO, Eddie Martucci; our President and Chief Operating Officer, Matt Franklin; and our Chief Financial Officer, Santosh Shanbhag. Also joining us for the Q&A portion of today’s call is Akili’s Chief Medical Officer, Scott Kollins. We issued our earnings release after the market closed today. You can access the release on our Investor Relations section of our website, along with the earnings slides that we’ll reference during today’s call. This call is being recorded and we’ll make a replay available on our website shortly after today’s event. During today’s call, we’ll make forward-looking statements regarding future events, expectations, plans, prospects or the financial performance of the company. These forward-looking statements are based upon estimates and assumptions that, while considered reasonable by the company’s management involve certain risks and uncertainties. The company’s actual results may differ materially from those expressed or implied by any such forward-looking statements, as a result of various important factors. Factors that might include such differences include, but are not limited to, those risks and uncertainties set forth in our Q2 – 2023 Form 10-Q that we’re filing today as well as other subsequent filings with the SEC. Information provided on today’s call reflects our views only as of today, August 10, and should not be relied upon as representative of our views of any subsequent date. We explicitly disclaim any obligation to update or revise our forward-looking statements or our outlook. Also during today’s call, we’ll reference certain non-GAAP financial measures. Management does not intend the presentation of these non-GAAP financial measures to be considered in isolation or as a substitute for results prepared in accordance with GAAP, but as a complement to provide greater transparency. A reconciliation of the historic non-GAAP financial measures to our GAAP financial measures is included in our earnings slides and in our earnings release. If you’re following along with the slides, please now turn to Slide 3 as I hand the call over to Eddie for his prepared remarks. Eddie?
Eddie Martucci: Thanks, Julie, and hello, everybody. To orient everyone, for those with slides, let me turn to Slide 4, as the business has evolved since we last spoke, and we’re now operating in two markets in the U.S. with two independent products. The pediatric ADHD market with our FDA-authorized prescription product, EndeavorRx and now the adult ADHD market with our recently released over-the-counter product EndeavorOTC. For EndeavorRx and the pediatrics business, as you know, we’ve been live with the sales force for just over three quarters in our current addressable market of just over 2 million children, ages 8 to 12 and we’re looking to expand the label to include adolescents with our FDA review that’s underway. With EndeavorOTC, we’ve now entered the adult ADHD market earlier than expected, which is a market 5x larger than our current EndeavorRx market at around 11 million patients. This adult market has unique market dynamics. And as we’ve started to engage directly in the market with a live product, we see enthusiasm for a new treatment focusing on attention issues. In our pediatric ADHD market, we continue to see quarter-over-quarter growth in prescriptions, prescription refills and prescribers for EndeavorRx, this all tells us that the value of EndeavorRx is resonating with patients and providers increasingly so every month. That said, revenue was flat, in large part due to insurance continuing to lag and block patient access. We’re seeing this insurance bear play out as the number of patients utilizing our patient assistance program increased substantially in Q2. This is clearly an issue that’s broader than our product and market, as I’m sure you’ve recently seen the White House take the insurance industry to task for not living up to mental health parity. That eventually has to change, but we’re pleased to see continued growth in the areas that we can control. Most exciting in the past quarter is our entry into the adult ADHD market. We released EndeavorOTC as an over-the-counter treatment for direct purchase by adults with ADHD. The product went live in the Apple App Store in June under FDA’s COVID Enforcement Discretion Policy. It’s built on the same tech as our FDA-approved product, and we decided to release the product while preparing our FDA submission because of our strong clinical data in adults and the document and growing need right now in the adult market. This initial release allowed us to assess consumer demand and inform our regulatory and commercial strategy. We look forward to sharing specific data on EndeavorOTC once we have more time in the market. But what I will share today is that based on what we’ve seen in the market thus far, we plan to pursue an FDA OTC regulatory path and commercial strategy for the adult market. And during this time, the product will remain on the market as we continue to optimize it. We believe the OTC business model has the potential to efficiently scale to a large market actively seeking treatment with significantly less friction compared to what we see in our prescription model and significantly less reliance on insurers. This move also places us at the forefront of the new societal shift over-the-counter models for products that are clinically validated and safe. We think we’re on the right side of innovation here and are proud to pursue what, if approved, would be the first digital treatment with the FDA-authorized OTC designation. At the macro business level, we continue to carefully manage our capital as we operate and grow our business and we remain able to fund our current and planned operations into Q1 2025, which we believe is important in this current environment. I’ll now turn it over to Matt and Santosh to take you through the actual data. Matt?
Matt Franklin: Alright. Thanks, Eddie. I’ll first start with an update on our progress in the pediatric market, then share some insights from our early experience in the adult ADHD market and then wrap up with an overview of top line results from our COVID Fog studies.  As highlighted on Slide 5. In Q2, we saw continued growth across key indicators of demand for our pediatric product EndeavorRx. We added over 500 new prescribers during the quarter and grew overall prescriptions by 27% compared to Q1. This demand was offset by a 7% decrease from Q1 and the 30-day dispense rate for new prescriptions and a 2.5-fold increase in the number of caregivers who qualified for free product under our patient assistance program. This wasn’t unexpected given the continued lack of insurance coverage. We also made progress on the regulatory front. As a reminder, we submitted data to FDA to include 13 to 17-year-olds in the EndeavorRx label. Our filing is currently under review with the FDA, and if successful, we look forward to making EndeavorRx available as an alternative for adolescents looking for new treatment options. Now let’s turn to Slide 6, in our early experience in the large adult ADHD market. There are approximately 11 million adults with ADHD in the U.S. whose daily lives are impacted by attention issues. These individuals are increasingly demanding safe and effective non-pharmaceutical treatments, especially as they continue to experience widespread stimulant medication shortages. The shortage was the focus of the joint statement issued by – on August 1 by FDA and DEA. With the strength of our STARS adult ADHD clinical trial data and the significant patient need, 8 weeks ago, we entered the adult market with the release of EndeavorOTC for adults with ADHD. This product release gave us access to the adult market sooner than expected, and as Eddie shared allowed us to gauge consumer demand and viability of reaching consumers directly through an over-the-counter model. As adults have the ability to manage their own health care, we intentionally chose to remove payers and prescriber intermediaries and use non-prescription approach for EndeavorOTC. The OTC model enables us to make our treatment extremely easy to access. Today, it can be downloaded directly from the Apple App Store and subscription initiated after answering a few basic eligibility questions. As Eddie mentioned, based on what we’ve seen so far with the EndeavorOTC release, we’ve made the decision to pursue an OTC regulatory and commercial strategy for the adult market. One note, we received a number of questions about the over-the-counter designation and want to be clear. An OTC designation is an FDA-authorized medical device, but one that does not require a prescription. We’re on track to submit for FDA authorization as an over-the-counter product later this year. We’re now optimizing key components of the business model. For example, we’re testing multiple monthly and annual pricing plans. We’re refining our messaging and core visuals and identifying the most cost-effective promotional channels. We’re also tailoring the game experience for adult users. We have product updates coming soon and continue to gather feedback from users that will help guide future product enhancements. Again, it’s early, but we like the OTC model for this adult ADHD market. And I look forward to sharing detailed data once we have a bit more time on the market. Finally, while we’re on the topic of adults, I want to share a brief update on the Cornell and Vanderbilt trials evaluating our technology in adults with cognitive dysfunction following COVID infection. These independent proof-of-principle randomized controlled studies were designed to identify signals for potential future exploration and top line analysis has been completed. We did see statistical separation between the groups and the primary outcome measure. However, these are broad-based measures of cognition, not specific to retentional control, where we’d expect to see the most direct effects of our treatment. We did, however, observe compelling improvements in a number of secondary measures that assess functional outcomes such as fatigue, depression, anxiety, quality of life as well as cognitive measures associated with attention control. Across these functional and cognitive outcomes, changes were statistically significant or trending towards significance when compared to the control group. We’re working with the study investigators to present these data at an upcoming scientific meeting. And with these encouraging data, we’ll be engaging in discussions with potential partners on opportunities to advance research in this area. I’d now like to turn it over to Santosh, who will walk us through the key financial metrics. Santosh?
Santosh Shanbhag: Great. Thank you, Matt, and hello, everyone. If you turn to Slide 7. As a reminder, an expanded EndeavorRx label combined with EndeavorOTC in the adult market has the potential to reach close to 17 million people with ADHD, and we have made incredible progress to address a large part of this population here in the United States. Let’s take a look at our second quarter financials on Slide #8. From a revenue perspective, we recognized approximately $114,000 within the quarter, which were relatively flat when compared to the prior quarter of this year. We also added a new non-GAAP metric, total billings to give a better sense of actual product purchased in that period. Total billings are revenues plus the change in deferred revenue, essentially, this is what people paid us during the quarter. Total billings were $170,000 for the second quarter, which is about a 34% increase over the first quarter of this year. Moving on to expenses. We incurred approximately $15 million of GAAP total operating expenses and about $13 million of non-GAAP total operating expenses in the second quarter. The reduction in expense you see compared to the prior quarter was primarily driven by reduced G&A expense and the wind down of our clinical trials. As indicated on the slide, we continue to expect to see our non-GAAP total operating expenses for 2023 to be within the $55 million to $60 million range we had provided earlier this year. GAAP net loss was about $12 million in the quarter compared to a net loss of approximately $21 million in the first quarter of this year, and non-GAAP net loss was approximately $13 million compared to a net loss of about $14 million for the first quarter of this year. Our GAAP to non-GAAP reconciliation is available in the appendix. And last but not least, from a cash runway perspective, we ended the second quarter with approximately $106 million of cash, cash equivalents and short-term investments. As indicated on the slide, we continue to expect that our cash position at the end of the second quarter will be sufficient to fund our current and planned operations into the first quarter of 2025. I’ll close on the financial update by reiterating that our current operating plan, one, builds on the continued commercial expansion into ADHD populations beyond pediatrics. And two, reserves capital, especially in these current capital market conditions. With that, I’ll hand it over to Eddie. Eddie?
Eddie Martucci: Thanks, Santosh. Everyone, if you turn to Slide 9, just to wrap. And you can see our highlights here. We have seen continued growth in our business model over the quarter, and we’re excited about some of the upcoming developments that we’ve seen, and we do believe we’re in a strong position to continue to execute on our goals. And so I’ll turn it back over to the operator to initiate the beginning of the Q&A period.
Operator: Thank you. [Operator Instructions] Your first question comes from Judah Frommer, Credit Suisse. Judah, please go ahead.
Judah Frommer: Yes. Hi guys. Thanks for taking my questions and congrats on the progress here. Just a couple related to the OTC designations. How long do you anticipate you would stay, I guess on the App Store under the COVID Public Health Emergency. And what do you anticipate FDA is largely focused on in assigning the designation? Is it largely the safety profile of the product, anything else we should be looking for there? And what’s the timeline and when you think you might actually receive the designation?
Eddie Martucci: Sure. Thanks Judah for the question. Good questions. This is Eddie. So, it’s a brief answer, and then I will turn it over to Scott, our CMO, for more details. So, we do intend at this point to have the product to remain on the market as we continue to optimize it during the health emergency, still health emergency and still a lot of need out there. And we will be following the guidelines for submission, which is both efficacy and safety. That will be the dependency of the review. Scott, do you want to say a bit more about the timelines associated with this?
Scott Kollins: Yes. Thanks Eddie. So, the timeline, the enforcement discretion from the FDA for the COVID-related marketing ends in November. So, our plan is to submit our application before then and have it under review before that time in November. And then just to add on what Eddie said in terms of the basis for the application, it will be a similar to what we had for our adolescent submission, which is the 510(k), as Eddie said, focused mainly on the efficacy and safety that we observed in our adult clinical trial.
Judah Frommer: Okay. Got it. And then just one quick follow-up on refills. And any trends you are seeing in terms of timing of refill, do you find that patients are doing kind of one after the other or they have taken a break in between, like, I think you had in one of your trials you had a one-month break. Thanks.
Eddie Martucci: Sure. Thanks Judah. I will have Matt, go ahead and answer that one.
Matt Franklin: Yes. I think one of the beautiful things about EndeavorRx is it can be flexible and accommodate each individual patient’s needs. So, we are actually seeing kind of a wide variety of utilization. The majority of patients who get refills typically will take a break. So, a month of active treatment, a break and then reinitiate a second cycle similar to the clinical study, but we also see a growing number that use it in kind of a sequential month-over-month. So, again, a little bit of a wide range there.
Judah Frommer: Great. Thanks.
Operator: Thank you. Your next question comes from Charles Rhyee, TD Cowen. Charles, please go ahead.
Unidentified Analyst: Hi. This is Lucas on for Charles. Obviously, it seems like the OTC product is doing well. Would be curious, I know you guys started making that available in June. Would be curious to hear, one, what sort of contribution you could see it having throughout 2023. And then two, just kind of curious, given you guys are now running two parallel products. Just kind of what is your marketing focus on obviously, you want to focus on ramping the adolescent product, but just kind of curious to see what resources are going to the OTC product?
Eddie Martucci: Sure. Will take the first part of that. Good question, Lucas, and then I will pass it to Santosh for a bit. So, at a high level, we are not guiding on anything related to contribution in any of the metrics at this point. We are looking, as Matt talked about, to continue to lean into optimizing the model and learning more as it’s on the App Store, right. I think at this point, we have had a limited kind of early set of weeks here on the market. I think there is a lot more we can optimize and continue to learn. And so, we will invest in that. As we have talked about, we are not going to increase our OpEx this year. And so as we look at investing across these various opportunities across the ADHD market, we will juggle those and we will optimize in a way we think best, including some earlier and more optimization in this OTC path.
Santosh Shanbhag: Yes. Thank you, Eddie. Just to add to that, I would say like Eddie said, we are not providing guidance on revenues, as you know. We do expect to see the EndeavorOTC continue to remain live in the market so they will obviously be some contribution of revenues through OTC. From an expense perspective, we are looking at balancing our total expenses and investments in marketing versus what we need to support the Rx business as well. But keep in mind, we are reiterating our total operating expense guidance of $55 million to $60 million for the current year, and we don’t plan to change that at this current point in time.
Unidentified Analyst: Okay. I appreciate that. And then in terms of progress with payers, last call, you guys noted that Kroger’s health plan adopted coverage across their members. Curious to hear where you guys are at with conversations with other payers. Do you guys get the sense that payers are waiting for real-world evidence data. Just kind of curious to hear an update on that.
Eddie Martucci: Sure. Matt?
Matt Franklin: Yes. Hi it’s Matt. Yes. On the insurance front, unfortunately, no new news to report there. And there is no question that this process is taking longer than we want. It’s interesting, Eddie highlighted some of the challenges are not necessarily unique to Akili. We saw the White House released a memo, highlighting some of the disparities in mental healthcare. We continue to engage with the payers. And thanks to answer your question, it’s really kind of unique to each payer. We are working with them through their process. We are continuing to work as aggressively as we can to expand access for our patients and their families.
Eddie Martucci: Yes. I will say very clearly. I think it’s clear from my perspective, from our perspective, this is not about additional data for EndeavorRx. This is not about a specific product. This is about inertia in the system, which is why we continue to engage. It’s why we continue to push on this because it is an important factor for access to patients. And so I think this is just a process that has to play out.
Unidentified Analyst: Okay. Yes, understood. And then I guess the last one, have you guys – you might have said it earlier, have you guys given an expected timeline for when you believe you can get the label expansion for adolescent population. I know you submitted on May 8th, maybe could you remind us of the timeline for that?
Eddie Martucci: Sure. So, there is no explicit timeline stated. The FDA has internal guidance in terms of their own clock and how they want to review. But there is no date. There is no – in this regulatory type, there is no kind of PDUFA, MDUFA date. And so it is – we can’t say it’s actively under review. We are working with FDA, but we can’t guide on an exact timeframe when the final decision would be reached.
Unidentified Analyst: Okay. It sounds good. Thanks for the questions.
Eddie Martucci: Okay. Thanks.
Operator: Thank you. Your next question comes from Vikram Purohit, Morgan Stanley. Vikram, please go ahead.
Gus Paul: Hi everyone. Congrats on the quarter. This is Gus Paul, on for Vikram. We have one question. And the question is, what have been some of the key areas of user feedback on Endeavor? And what are the key product updates your team is currently working through based on the feedback that you have been receiving?
Eddie Martucci: Vikram, are you – does it matter? Are you referring to EndeavorOTC or EndeavorRx?
Gus Paul: EndeavorRx.
Eddie Martucci: Or is it general? EndeavorRx.
Gus Paul: I mean I guess – I mean let’s make it general then.
Eddie Martucci: Okay. Yes. No problem.
Matt Franklin: Yes. I just want to make sure I address your specific question. I mean I think in general, what we are hearing is an incredible unmet clinical need, right. I think we are seeing as you saw both products increase in demand, right. So, there is an unmet clinical need out there. From a clinician perspective, from a patient perspective, I think they also find comfort in the rigorous science and clinical data, right. The rigorous data that backs these products and also the engaging entertainment video game format, particularly in the pediatric market, we have seen continued progress with maintaining improvement over time as well, so…
Eddie Martucci: Yes, just to add on – this is Eddie. It’s a good question. We believe that things like continuing to add features that will – that people are asking for in terms of engagement, continuing to add data and tracking features. All of these are things that actually come up in our feedback and because we are in now two different markets and our volumes continue to grow, we are able to actually get a lot of volume of this feedback. And so in those areas, kind of engagement features and data and tracking, these are all areas that one, we have on roadmap and two, what’s really great about digital therapeutics is we have a lot of potential and latitude to add features directly to the product and release on a timely cadence. So, we definitely intend to have updates coming, as Matt said, near-term updates in OTC as well as updates in Rx aimed at these areas.
Matt Franklin: Yes. And then specifically in adult market, we are just getting started. So, we are actively in the process of optimizing that product for the specific adult users that we are engaged with. And excited, as Eddie mentioned, that we can – one of the unique advantages of our product is that it can be kind of evergreen and refreshed to continue that cadence of updates.
Gus Paul: Awesome. Thank you very much.
Matt Franklin: Thank you.
Operator: [Operator Instructions] Your next question comes from Rahul Rakhit, LifeSci Capital. Rahul, please go ahead.
Rahul Rakhit: Hey guys. Thanks for taking my questions. I know it’s pretty early, but I was just wondering if you see any kind of trends in the OTC product about where patients are kind of leaning in terms of subscriptions? Is it – are you seeing more patients going – opting for one-month or two-month subscriptions versus the full year? Any color here would be pretty helpful.
Eddie Martucci: Sure. Thanks. Great question, Rahul. I think it’s a mix. And actually, one thing that we have really leaned into in these early weeks with EndeavorOTC is a lot of testing. And so what you will note, while you may not be going on different devices every single day. But we are testing a range of different types of packages, pricing, etcetera, right. This is very much for us a data gathering and optimization exercise at this point. And so the best we can say really is that there is a mix, and we do see kind of monthly packages, and we do see annual subscriptions. So, both of those are things that we actually see actively in the marketplace. There is not a kind of singular thing that people are relating to. And so that’s – we will keep that in mind as we think about when we finalize pricing, what options we will keep available for patients.
Rahul Rakhit: Got it. Okay. And just kind of going off of that and knowing that this one might be a little harder to answer. Of the people who are opting for the one-month or two-month prescriptions – in terms of kind of trends what percentage are coming back as well as what percentage they are kind of making it through the full courses of treatment?
Matt Franklin: Hey Rahul, it’s Matt. Yes, I mean pretty early. We are only in the market for three weeks here in Q2. So, we do plan on, in the future, providing a full set of metrics to help address questions like that. But again, early, early days for us right now with the OTC model.
Rahul Rakhit: Got it. Understand. Thanks for taking the questions, guys.
Eddie Martucci: Thank you.
Operator: Thank you. There are no further questions at this time. Please proceed.
Eddie Martucci: Alright. Thank you everyone. Thanks for your attention for this quarterly call, and thanks for the engagement and questions, and we will talk to you in the future. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.